Xavier Huillard: Thank you. Now we can begin. Good morning. Good morning to one and all. Thank you for taking part in this presentation of our 2015 achievements results. Christian and I will be doing this together as usual. Some pictures first. The first picture is a 3-D view of the future terminal of Santiago de Chile, where, together with Astaldi and airports of Paris ADP, we're doing engineering studies right now that are doing very well. And we should start to see some beginnings on the ground in the next few months. 
 The next one is the Kansai Airport Japan, and it's on the sea. As you can see, there can be -- very few runways here. This is something that we're especially proud to report to you, and I'll be coming back to that later. 
 Next, we have an illustration of what we're doing to develop customer services. This is a rest area alongside one of our motorways. You can see an area for children, small children and it's a break area, so that we can take a break from driving so you can drive safely. 
 Next, a 3-D view, so this is not a real photograph of operation. This is the Regina bypass project, Saskatchewan. Very proud of this, showing synergy for your VINCI Concessions and Contracting business, specifically Eurovia and VINCI earthmoving [indiscernible]. 
 Next is a picture of a data storage center, an illustration of strong growth in ICT activities in information communication technology of VINCI Energies. First of all, through their stake in 2014, a recent takeover, APX integration in France. They're in lines of business, surfing a powerful wave, i.e. cloud infrastructure and big data. 
 Here, we have a real picture, the high-speed link. The last railway was laid just recently, Tours-Bordeaux HSL, and so we're completing this. There have been significant innovations here in terms of the way the tracks have been laid. 
 Next, we can see some innovation. We are fortunate to have been able to show several journalists that had visited this center a few months ago. This was restructuring, a renovation, refurbishment extension of the past Merchant Marine Ministry. This is located in Paris. It will be accommodating henceforth various Prime Minister services, various offices and the Canal office as well. This, we think, is a great illustration of how our business is really changing. More and more, we are rebuilding within cities, refurbishing and so forth. Furthermore, this is an operation where we really pushed the envelope in terms of using modern tech such as BIM, Building Information Modeling, which we're really rolling out quickly to all of our various services, especially in the construction line of business. 
 Next, we have a tower in Malaysia, which we did for a major local client, for whom we'd already built other infrastructure. Superstructure is similar to this one. So this is a couple of pictures and illustrations, some things I want to show you. It's a sort of a global overview of some of our achievements and activities. Now to sum up 2015 for you, I'd say the year was a sound one, also an active one. Sound as sort of -- in terms of economic performance, revenue, as you can see, basically stable compared to last year. Concealing, however, a significant drop in France, minus 6% and then a significant increase outside of France, reaching plus 9%. Good growth in EBIT and net income, excluding nonrecurring. Order inflow good, plus 3%. I'll talk about this order intake. Another piece of good news. Free cash flow, up substantially, now reaching EUR 3 billion, making it possible to achieve a significant drop in our net financial debt, which went down by EUR 800 million during the period. This confirms yet again what we've been saying for quite a few years now. Our business model is sound, robust. It's the right one and able to really weather anything. 
 Next, to talk to you, to say it's been a highly active year in terms of rolling out our strategic project. First of all, all of our business lines are growing internationally. Next, we've seen some beautiful successes. I'll come back to this, in airports. We've done major groundwork on some of the more mature concessions to tease out value from the more mature concessions, especially the agreement reached with the state regarding motorway concessions in France. Furthermore, we've seen some very nice successes, demonstrating how we are now able to really tap into synergy among various group entities. Business like Saskatchewan, you saw a picture of that earlier. Also, this Strasbourg bypass, which led to a decree issued last weekend. None of that would have been possible without very good coordination, excellent coordination between construction business lines and concessions business lines. All in all, we have the distinct impression we're on the right track. In more detail now, French motorways, resumption of traffic is confirmed. We've seen this for a while. Further confirmation, both for light vehicles and heavy vehicles. Light vehicles, there's -- some of the effect is due to the fact gasoline prices have gone down, because the impression -- drivers get the impression that they can drive a little bit more. They can go visit their mothers-in-law more frequently. Furthermore, there's been an increase for heavy vehicle traffic. That is very much seeing the impact by resumption of the economy in Spain. I'm not sure if we already said this 6 months ago here, but our calculations have shown approximately 1/3 of our heavy-vehicle traffic is directly or indirectly related to what's happening to the Spanish economy. 
 Another important point, just in Q4 2015, growth in traffic was 3.3%. I am not saying this is speeding up, but I'm just saying things were slightly better even toward the end of the year. I won't give you any figures, but I will say the beginning of the year is fairly encouraging. The most important thing is that we're continuing our work in terms of operations and synergy among French motorway networks so that we can further improve our EBITDA margin improvement of ADBP. It's 72.2%, we want to achieve every single year. And then the stimulus plan. Stimulus plan, which is very much operational now, that's been the case since the end of August since it was published in the French Official Journal, I think it was end of August. This is leading to many teams working today, so I think it hit the ground running and invest for the $2 billion investments program pertaining to us. 
 Now in France, we also won and tied up the financing of the Regina bypass. We've mentioned that twice already in Canada. So engineering studies are under way in the beginning of the works. We tied up financing and studies from Section 7 and 8 of the Moscow-St. Petersburg motorway. And as you know, we also won the Strasbourg bypass that was approved this weekend. 
 Airports. Airports continuing their wonderful pathways of success. Great traffic in existing airport platforms, 11.4% of growth in traffic, all in all. What we see is 13% growth in traffic in Cambodia, 11% growth in Portugal. That's significant. Also, great growth in France, although the 12.5% we see on this slide clearly was positively impacted by the resumption of Toulon Hyeres, which began beginning of the year.
 Great growth in EBITDA, 250 basis points, going beyond EBITDA margin of 50% now, going above the 50% mark. And this is thanks to work in operations, work productivity, work to develop new routes and also substantial work in the business area, the sales -- sellings area in airports. 
 Furthermore, let me talk to you about further successes in airports in 2015. Toulon Hyeres I've mentioned, also Santiago de Chile international Airport with ADP Astaldi a few months ago. And then, also very important, another success we're extremely proud of, in Japan, taking over the 2 platforms, Kansai and Osaka, both of them representing around 35 million passengers. This means this is the second-ranking airport center in Japan, but the #1 entry point for tourists. I already mentioned earlier on a previous slide. There's possible -- we can ratchet up capacity -- traffic capacity in the Kansai platform. It would be possible to increase traffic to deal with increases in traffic flows and also overall aircraft flows, that will be boosted through low-cost airlines, which aren't highly developed in Japan yet, and in all likelihood, will develop at a quick pace as quickly as has been the case elsewhere in the world. 
 Next, we'll be soon taking over 6 of the 9 airport platforms in the Dominican Republic. That's where Christian was vacation, though we're not taking over Punta Cana. Everyone's familiar, but nobody -- fewer people are familiar with Puerto Plata and Santa Domingo. We're taking over 6 of the 9 platforms, airport platforms in the Dominican Republic. This is important because it's an area that we consider to be a dollar area. Tourist flows there and payments in dollars, so that helps us get a foothold in an airport location that's sort of the backyard of the United States of America. 
 Then last week, we signed a Memorandum of Understanding with authorities at the [indiscernible], leading authorities for the study and implementation of a project for concession and operation extension and refurbishment of Mashhad airport, Iran, and also another airport in Iran. As you -- if you don't know, Mashhad in Iran is an area of pilgrimage. When you say pilgrimage, it's one thing about this area in Iran is it sees about 20 million pilgrims there every year, Isfahan. And it's not just got pilgrimages in certain times of the year, like in some sections of Saudi Arabia, but it's throughout the year. And it's also an extraordinary area that we're familiar with and that -- at Isfahan, we think that there will be substantial further tourist development. 
 And something I've said several times, competition is tough in the airport industry. Many people actively working in this area, so we have to be a little more fleet-footed, more agile and go off the beaten path. And that's what we are fortunate to have done with the various deals I've just mentioned to you. 
 An interesting slide that comes up now. Some of you have already seen it. I think it's a great illustration, a summary overview helps understand basically what we've been doing in the concessions area. In concessions, there are 3 main objectives here. First of all we wanted to strengthen the long concessions. We want to stay our course, regardless of any changes in weather. Think of it in boating, and how you do that. What we're doing here is maintaining at a good level the residual averages, residual duration of our concessions portfolio. If nothing had been done in 2015, we'd have had a residual duration on average of 18 years for our concessions. Various efforts have been undertaken for years, now thanks to which, we've been able to increase that average duration, going down 28% -- 28 years, the residual duration for concessions. Another point we don't often mention, concessions also have another advantage. It helps us in contracting, helps us really get a firm foothold in various areas. When we win, for instance, when we won the Saskatchewan bypass or Santiago de Chile airport, these are opportunities for our works activities to further get a foothold in existing regions or maybe move into regions where they hadn't been working previously. And we hope this will be the same situation once we are working in the Iranian airports. 
 A slide now, a quick overview, which is a good summary overview of where our footprint is. In red, we've got existing concessions in our portfolio. In green, it's the ones that are being closed now. That's the Dominican Republic and Japan. And then in this dotted green, these are areas we're working very hard in. In Iran, I mentioned, also Colombia. Colombia, come back to this earlier. We entered into a strategic partnership with Conconcreto, and this can lead to a small first concessions deal in motorways in upcoming months. 
 Next, Peru, where we've also got various prospects. And then New Zealand. New Zealand's synergy effect here. We just barely signed the acquisition of HEB, which is VINCI Construction's subsidiary in New Zealand that we then came along with VINCI Concession for a deal, a PPP agreement in that country. The Philippines. The Philippines is a country which has major airport needs, and we're trying to develop our business there. 
 Contracting, the situation here is more of a mix, depending on geography and business line. Let's begin with talking about VINCI Energies. Things are going well at VINCI Energies, continuing to roll out and use its expertise internationally. You'll see international at VINCI Energy is just about 50% of their business. Growth rate leapt. Growth leapt by 23.5% in 2015. That's either the full year effect of acquisitions. Interesting acquisitions that have been carried out in 2014, mainly, I'm thinking of Electrix in New Zealand and Imtech ICT in Europe. That's very important. 
 France, on the other hand, France in 2015 saw a slight down and interesting though is stability of margin rate, 5.6% of revenues. It's, Yves, that stays very good. And it's interesting, that's very uniform from one area to another. Some slight fluctuations, but basically our growth outside of France is virtuous growth. In other words, margin rates that we see at VINCI Energies outside of France is just as good quality as we're achieving in France, in some ways even better quality than what we achieve in France, so the growth is virtuous growth. 
 Lastly, I already touched upon this. We have to realize that this average margin level, EBIT margin of 5.6% is the result of a twofold phenomenon. Firstly, margin like-for-like, in terms of acquisitions made a long time ago or positions we've had for a long time. Margins are actually greater like-for-like on an existing scope. But if we factor in an acquisition of a company, we usually, in the initial period of a new acquisition for a few years, your margin rates are somewhat lower. So if we look at both a better margin for existing and then cyclically lower margin for brand-new acquisitions, that means we've got stability. And at VINCI Energies, that's basically become the rule of thumb, making it possible for us to really modulate external growth. The basic rule here is to maintain EBIT margin on average of 5.6%.
 So there you go, those are my points on VINCI Energies. As I've said to you several times, it's doing very well, wind in its sails, thanks to its business model, its organizational model and its ability to integrate new companies. And also, thanks to the many opportunities which have arisen worldwide. We realize that every single day, we study a great deal of these opportunities. However, we are highly selective, very cautious. But to check, make sure it makes sense from a strategic point of view, in terms of using our expertise to check if there's a corporate culture compatibility, to make sure we can work together well. So for this reason, there are some years where we're highly active. That was the case in 2014. Other years a little less active, that was 2015. And possibly once again in 2016, might be more active, possibly. We'll see. Time will tell. But it's no problem. We take our time to make sure we make no mistake. 
 To move on to Eurovia. This is a little bit more difficult. The French market for Eurovia was very disturbed, which is in the figures. France down at Eurovia by 8.3% in 2015. However, international, fared better. All in all, the takeaway message is Eurovia beautifully managed the difficult period through reorganization, sometimes by unifying business units, and also ongoing efforts of being highly selective in deals, also working on further enhancement of productivity. Thanks to that discipline, also thanks to international business as well as railway work. All in all, Eurovia has done well, has kept flat at 3% its EBIT margin, which is truly remarkable. 
 Later, we'll be saying to you, order intake 2015 at Eurovia is basically stable. Business -- the deals are slightly bigger than previously, covering a longer period, which leads us to believe that activity will continue to dip slightly at Eurovia, especially France in 2016. 
 VINCI Construction, the year was also a tough one, inter alia, we consider French market as we see down by 13.5%, that's very painful. Another feature I'd mention, VINCI Construction, as you know, is very developed in Africa. Africa was hard hit and will continue suffering economically here. I'm talking about Africa is very dependent on oil products. That's a part of Africa where we've been highly active and very well developed. I think of Gabon, Congo, Cameroon, Chad, Equatorial Guinea and so forth. Sometimes, drops in activity up to 75% in some of these countries. Furthermore, our specialized oil and gas activities called Entrepose Contracting was directly impacted, not by the halting, but the tremendous downturn in orders available due to major drops in oil company investments. That's why international growth of VINCI Construction isn't as strong as it should have been, because there was this negative impact by Africa on the one hand, on the other hand, significant drops in major oil company investments, oil and gas company -- companies. 
 EBIT down by 40 basis points. The interesting thing to observe, it grew in the second half, EBIT, which leads us to believe that we're well on track for a turnaround. What's being done at VINCI Construction? First, we're working hard on engineering upstream of deals to make sure that we can stand out, be different which we were calling value engineering, so we can win deals through our value engineering and not only through prices. We're also working very hard a great deal on -- throughout VINCI Construction on execution methods, operational excellence as well as productivity. Internationally, we're redeploying and we're doing this very naturally, it's as it should be, through units such as VINCI Construction Grand Projets, and Soletanche Freyssinet, because this is also why we've resumed external growth such as the first deal of an acquisition in New Zealand, the company called HEB, also taking a stake of -- a 20% stake, following on from a long-standing partnership with a Colombian company, top-quality company, called Conconcreto. They're second or third ranking in their line of business. They're both a constructor, a property developer and also a concessions developer in Colombia, which is a country that we really believe in. All in all, contracting order intake slightly up, 3%, plus 9% internationally, minus 2% in France. What we've seen in France is a resumption, not double digit. Nevertheless, order intake starting in Q3 started ticking up. 
 Another important point to observe, Currently, 42% of our business is outside of France. It used to be 38-some percent in the previous period, so which is to show that we're very much on track with our strategic road map that we reported to you. 
 Summary now, summary map of how things have worked out geographically. France down, minus 6%. Africa, I explained to you, minus 14%. Very severe, even worse than that of some countries. Rest of the world doing fairly well, due to organic growth and also due to some external growth. 
 I'll hand over to Christian now, and I'll come back to speak to you later, to talk to you about the outlook for 2016. 
Christian Labeyrie: Thank you, Xavier. Briefly, a review of revenue. Xavier mentioned that a great deal. Organic drop of revenue, 4.3% on a like-for-like basis, was largely erased by positive currency and scope effects. On the scope effect, the deconsolidation of VINCI Park in 2014 was largely offset by the positive impact of the consolidation of acquisitions in 2014, VINCI Energies, Intec ICT, Electrix, but also Freyssinet in Spain and the positive impact of acquisitions in 2015, Orteng, HEB at VINCI Construction and a few lesser important deals. 
 Currency impact, the euro was down versus the major currency. Even for us, 3/4 of the business is invoiced in euros, and the residual portion we were able to benefit from the favorable currency impact on sterling and the U.S. dollar. This regards change on a like-for-like basis. It's a pretty mixed bag between the 2 divisions. Divisions up 4%; contracting down, just over 6%; 9% in France; 2.6% outside France, outside France already concerns essentially Africa and the Entrepose business in the oil and gas regions. 
 Turning now to the results. Operating income EBIT, excluding VINCI Park, is up 5.7%. This increase is large -- is fully due to concessions. VINCI Autoroute increased in EBITDA, but also the positive impact of spreading the depreciation cost over a longer period linked to an extension of concessions. In contracting, a drop of the contribution overall, but with varied situations by business. VINCI Energies up by EUR 50 million. Xavier said, the margin stays high at 5.6%, a slight dip of euro, but the margin holds up at 3%. That's the volume effect that kicks in, and of course, a sharper decline in construction, both in rate and amount terms, with also contrasted situation, depending on geographies and businesses. Sharp decline in France at Entrepose. Contraction at Sogea-Satom, maintaining perfectly commendable margins. Conversely, an improvement at Soletanche Freyssinet in the big projects division and of course a reduction, as we announced, of the losses in the U.K.
 Moving down the income statement. The difference between the -- between EBIT and the recurring operating income, that's the equity-accounted companies, so recurring operating income is up just over 4% to EUR 3.8 billion almost. And then we have the impact of the nonrecurring items, the one-offs. Obviously, last year, the capital gain, when we sold VINCI Park, which unfortunately is not recurring, hence the significant gap year-on-year. Here we have some negative items that concern restructuring the costs, asset impairments and capital losses on disposals, hence the decrease -- the drop of operating income of 12%. Financial income is up. We're up EUR 100 million in terms of the financial income year-on-year. It's the reduced debt that impacts this item. But more than the decrease, it's the decline in rates that we were able to leverage through by varying our debt to the tune of some 50%, by varying gross debt 45%, gross debt just over EUR 16 billion. 
 Income tax is stable year-on-year, but the effective income tax rate is higher, because last year, we benefited from a reduced tax rate on the capital gains from VINCI Park. All in all, net income that's down, but once we correct it from the one-offs, is up by almost 11% as is the earnings per share, the last line on the table. 
 Turning now to cash. This is the excellent news in 2015, reduced debt by EUR 800 million, thanks to free cash flow that is sharply up at EUR 3 billion as against EUR 2.2 billion EBITDA, plus or minus the change in working capital requirement, which is positive in the right direction this year. Taxes, and disbursed financial expense and CapEx, you have the analysis. What we can say is that this improvement in free cash flow is fully due to contracting, thanks to an improvement in the contracting's working capital requirement across businesses.
 Free cash flow improvement despite an increase in CapEx by EUR 100 million in concessions. That's the implementation of the stimulus plan, because we bought back from the state the tunnels of Toulon for EUR 163 million.
 As Xavier indicated in accounting terms, the acquisitions item is low this year, EUR 440 million, but we need to add immediately the deals done this year don't have an impact on the accounts. But next year, essentially the new concessions, where we have to invest in the capital base, consolidate the debt, because in the case of the Dominican Republic airports or the Strasbourg bypass, we'll have a controlling interest. So no impact this year in accounting terms, but there will be effects next year. 
 What else can we add? Oh, yes. These acquisitions I've already mentioned, Orteng in Brazil, HEB in New Zealand for the most part and also the 20% stake in Conconcreto in Colombia. Of course, we paid our dividends, that's nothing new, for EUR 1 billion; share buybacks, EUR 700 million, that offset the new shares. But we also reimbursed early redemption of our perpetual subordinated bond loan of EUR 500 million issued in '06, which has an impact, because this was treated as shareholders' equity and viewed as such at least for 50% by the rating agencies.
 Next slide, the balance sheet. Well, what can we say? Capital employed down, thanks to improved WCR. Equity is up. Provisions remain at a high level. Gross financial debt down from EUR 17.8 billion to EUR 16.5 billion. Cash is also down from EUR 4.5 billion to EUR 4.1 billion. How's that explained? Simply by the fact that to optimize our cost of debt, in 2015, we undertook no refinancing of debt due during the year, preferred to use our cash flow generated during the year that's significant and even to reduce our cash investments at very low interest rate to optimize our cost of debt. That's why we have less long-term debt and a bit less cash. 
 In closing, but this you know. Well, in summary, our financial policy, top left, you see the maturity of our gross debt at EUR 16 billion well spread over time, allows us to meet the future reimbursements without any pressure either by issuing new loans or by using our cash flow, which we hope will remain at a congenial level or indeed both. Bottom left, our cost of debt continues to decline year-after-year, thanks to the way we partially vary our gross debt. And so on average, over the year, it comes in at 351% as against 360%. Last year and at the end of year, it was in fact closer to 330%. Top right, our credit rating remains unchanged and excellent, because -- and our image with the bond investors that we met not so long ago is very positive, even if we're not issuing any loans. They'd like us to, but nevertheless, it remains good. We have a lot of cash available, EUR 4.1 billion on our balance sheet, but EUR 6 billion undrawn credit lines maturing in 2020. 
 Projecting into 2016, as I hinted, there'll be an impact of debt of our recent successes in concessions. Chile and Japan, about EUR 400 million, that's the capital investment; if we add to that the Dominican Republic and the Strasbourg bypass, an additional EUR 1.2 billion, given the consolidation of the project debt for those acquisitions. Share buybacks, our strategy remains unchanged now for a long time. We want to maintain the number of shares, making up our capital base unchanged so that the EPS isn't impacted by new shares created during the course of the year to allow our employees to increase their share in VINCI, which is just below 10%. We view that as key to ensure that a maximum number of employees remain shareholders. Thank you for listening. 
Xavier Huillard: Thank you, Christian. To wrap up and before beginning Q&A, just briefly, I'd like to talk to you about how we view 2016. 
 First of all, motorways, what we're seeing here is we think is traffic will continue to grow, but to a lesser extent than in 2015 for obvious baseline effects -- obvious reasons due to baseline. But this year, wasn't the case last year, we'll benefit from a price effect. Prices went up. You saw this in the newspaper, at midnight, the tolls increased as you can see on the slide. And for the whole -- for motorways in France, this represents average percentage of just above 1% increase, which is entirely in line with what was duly approved by the concession-granting authorities during the overall agreement reached 27 April last year -- no, April 9 apparently. That's the important distinction, yes, absolutely. That makes a big difference. 
 Now the usual chart that shows us how light vehicles and heavy vehicles traffic has changed since Lehman Brothers crisis. You can see trucks are still below the Lehman Brother crisis period. We're hovering around 6% below that level for heavy vehicles. It's not a surprise. But light vehicles now are well above the pre-Lehman crisis level, 11.5% compared to back then. 
 Airports growth, we think, will continue, but of course growth can’t continue forever. We're expecting therefore a little bit less growth in 2015. We're very proud, we have to say, to sum up our story, recent history in airports. We're proud of it. You'll see in just a few years, we went from 10 million to 100 million passengers managed or jointly managed and then I don't know how many platforms originally airports -- a few originally maybe 2, maybe 3 airport platforms. Now we've got 33 airports managed or jointly managed. The challenge for 2016 and even beyond trying to reproduce the success stories, but of course years are not always exactly the same one year to the next. We're going to make [indiscernible] very active in 2016, but it will depend on opportunities and make sure that things are well suited. And we're, of course, working very hard to be successful with taking over Osaka and Kansai and also integrate the Dominican Republic platforms, and also after the memorandum -- MOU with the Iranian airport authorities, we want to bring that to fruition. So growth for our concessions in 2016. 
 To talk about contracting, rather than acting like macroeconomists, we're more pragmatic. We like to look at our actual order book. The order books are stable from one year to the next, very good level, high level for the order book. You'll also observe a growing proportion of the order book is international. Now the proportion of orders outside of France is 52%. That's something fairly new. What we think is the toughest times are probably behind us in France, but there's some inertia in order book and there's also some difference between closing a deal and its actual realization.
 There's going to be a slight dip in activity for Eurovia and VINCI Construction in 2016. But VINCI Energies should see stability in its business at the current scope. The main point being, even though toughest times are in all likelihood behind us, we can't say the future is absolutely certain, which is why we have to continue being very cautious, especially considering the fact that there's ongoing depression of commodity prices.
 Furthermore, there's a question mark as to the ability for countries to resume economic growth that were very important, the BRICs countries. All that's questionable now. We're not entirely sure. It's a question mark. So we are cautious in our forecasts for the period.
 What we think, all in all, is that we may see a slight reduction in overall revenue for the entire VINCI group; however, we should see renewed slight increase in EBIT and net income. However, before taking into account changes in taxation, which should be a plus this year, and without taking into account the stimulus plan that Christian talked to us about earlier. That's the information. The Board of Directors met yesterday and decided to propose for the next shareholders meeting an overall dividend for 2015 of EUR 1.84 per share, which is up 4% and which means that we continue with our ongoing policy of a payout of 50% of our net earnings. I'd also specify that since we paid an interim dividend last November of EUR 0.57 per share, this means we'll be paying out -- we should pay out EUR 1.27 April 26 if the shareholders meeting accepts this proposal. 
 There you have it. Basically, that's a summary of information we'd like to give you. I hope that wasn't too boring. And we went through this as quickly as we could so that we had enough time for any questions you might have. 
 So anybody else, not Jean-Christophe again, okay, who's always first off. We always give Jean-Christophe first bite. 
Virginie Rousseau: Virginie Rousseau from Oddo. Got 2 questions on contracting. The first, could you give us an update on the major projects to come in France, notably Greater Paris? We were expecting some contracts to be granted last year. That didn't happen. Do you have an idea as to the timeline there? And second question on contracting, you booked a fine performance on cash generation in that division. I appreciate that it covers all contracting activities. But is it linked to a few major contracts in particular, or is it disciplined by all activities in the subtext here? What can we expect for 2016? 
Xavier Huillard: Okay. We're going to -- there'll be 3 of us answering. I'll start, then Jérôme, then Christian. Let me just say that we need to agree on the terms here. When you say Greater Paris, we're talking about transportation, infrastructure in the broad sense in the Greater Paris area. It's everything that we're doing to develop public transportation in the Paris region. And so we include line extensions such as AL [ph], et cetera. Next, on the hopes, Jérôme is head of VINCI Construction. Jérôme? 
Jérôme Stubler: So as Xavier said, 3 types of infrastructure to be built: tunnels, stations, land development around these stations and urban development around the land developed near the stations just to be complete on Greater Paris development. The Greater Paris project started off in several ways, firstly by extending lines 14 and 11 of the Paris metro, where we're already working. The first line of AL [ph] very significant, which isn't in the Greater Paris scope, strictly speaking of finance, but 2 call for tenders have been put out. We're hopeful for the biggest deal, we can say that yesterday, but of course this needs to be confirmed in the coming weeks. And we are today bidding for Line 15, so in 2016, we'll be putting in a bid for Line 16 under construction, and Line 15 will generate revenue during the course of 2017, '18, '19. The Greater Paris is a venture that will keep us busy for 10 years. On WCR, as Christian said, WCR is up by EUR 60 million year-on-year, EUR 500 million on contracting and the rest, EUR 600 million all in all, the rest being concessions. Let me remind you that we paid first payment to the state as part of the stimulus plan as part of the voluntary contribution in [indiscernible] and also VINCI real estate, where we're accelerating our land acquisition, a very promising market. I didn't mention that. So we've invested in the land, and of course, that impacts WCR. So for contracting, we can say the 3 divisions positively contributed to the improvement of EUR 500 million. Pierre will tell you more about that, because cash in was particularly good across the board, including countries such as Poland and Germany. Energy and construction, probably a business reduction activity that plays positively, but also progress on new projects and construction in France. So it's a collection of various things that plays out favorable. It accounts for just under a week in cash in, so you need to be modest here. So for 2016, no forecasts generally in our budgets. We put 0 change and then we look at how it trends over the months to try and adjust things if need be. And we know, on December 25, Xavier. 
Christian Labeyrie: This is Christian. What we need to add is that January, which generally starts a decrease, this year, it's not the case. Cash is holding up well in January. 
Xavier Huillard: Jean-Christophe, go on, over to you. Your turn now. We're not ignoring you. 
Jean-Christophe Lefèvre-Moulenq: I have 2 quick ones. Firstly, on specialized construction specialty lines that are never really mentioned at VINCI, but which nevertheless represent a significant earnings, EUR 130 million at Soletanche Freyssinet last year, Entrepose about EUR 30 million on major projects, earthworks about EUR 100 million. How have these numbers trended in 2015? That's my first question. And secondly, how is Soletanche Freyssinet doing in these 3 areas: soil, structures and nuclear? What's the average interest rate on Cofiroute and ASF that are big projects at... 
Xavier Huillard: Well, you're running a risk that if you ask Jérôme to start talking to you about specialty engineering. Go on, Jérôme. Everything's doing well. 
Jérôme Stubler: Soletanche Freyssinet up 15% this year, but let's be honest, 5% linked to ForEx, 6% linked to organic growth present in the 5 business areas of Soletanche Freyssinet in most of the areas where we're working, with a significant uptick in North America, allowing us to boost the business there. Entrepose, nothing to add to what Xavier said about the sharp drop in demand in the oil and gas sector. And as to earthworks, international expansion of our earthworks business, so good order intake for the year for earthworks, and we're gradually replacing the extraordinary order intake of the SEA projects for earthworks, the high-speed rail project. 
Xavier Huillard: On the interest, we're not -- well, let me just say that we're an integrated group that we own 100% Cofiroute and ASF, of course, the bulk of external debt is housed in the autoroutes, but also in turn, that's -- so it's pretty meaningless really to go into the details of cost of debt of a particular unit, because VINCI partly finances ASF. It's best to look at the overall cost. I think I missed somebody over there. Go ahead. 
Unknown Analyst: Yes. I have a couple of quick ones. Firstly, on the VINCI Construction margin in 2015, can you quantify the loss -- the impact of the loss on VINCI in the U.K., how it impacted the 2.1% margin in Construction? Next on the order intake, are there major projects that you've almost won that should enter the order book in the coming months to see how things might develop? Pierre, you mentioned -- could you maybe give us a feel for the size of the batches that you're working on -- that you're bidding for? And have you begun to work on the major overhaul? 
Pierre Coppey: That's really focused on construction, says Xavier. We're not going to give you the details of the number by unit-by-unit, otherwise we'll be here all day. But let's say that it was significantly reduced. It's been halved over last year and talk about the operational loss there. We hope to halve it every year or even do better. If we halve it every year, it will be never ending. Okay. We hope to be close to 0 this year. Size of the EL [ph] projects that you mentioned, EUR 500 million each. The Strasbourg bypass, don't forget, because that's -- a decree was issued last week, and in terms of work, Strasbourg about the same, just on -- just a little bit less. What else do we have by way of major projects in France? There are a number of real estate projects. What's interesting to note, a number of property develops are beginning to have positive expectations, are beginning to launch projects, even if they don't have all the tenants signed and sealed for their towers, they’re saying right. The vacancy rate remains pretty high, but cycles are turning. And if we start construction today, it'll be available in a few years' time. That is to say at a time when the cycle will return to a more favorable stance. So we have some deals and the discussion on that, which can -- each represents over EUR 100 million. And then what else have I forgotten? So those are the big projects. But you know the average size of our deals is a lot smaller, that is our order book is made up of hundreds of thousands of our smaller projects. Just by way of illustration, VINCI Energies that has EUR 10.3 billion, what, the average size is 80,000. So we need to process a huge number. And that's the resilience of the model. We're not just on big projects as some of our peers. Globally, we also have small, medium-sized projects. And that constitutes the major order books that we're showing you. 
Xavier Huillard: Over there. What was the other -- last part of your question? Major overhaul. Jérôme, what can you tell us about that? 
Jérôme Stubler: Major is actually being postponed, but a few emergency operations are being -- actually a slow start of the major overhaul. But we've good presence in the business, thanks to the growth in our market share. On Page 57 in the handout, you have the list of the major projects, major contracts won in contracting in 3 businesses in 2015. There's a great variety of projects, road, energy and also quite a variety of activities. 
Xavier Huillard: Pierre, I'll let you organize the questions. 
Pierre Coppey: Gregoire Thibault, Natixis? 
Gregoire Thibault: Yes, I'm from Natixis. I have a first question of 2, firstly on contracting. In terms of profitability and outlook, VINCI Energies, we know your answer, you gave the percentage. But construction, well, it's possible it can improve. VINCI Construction, Christian, talk to us about cutting losses in the U.K. Could you be more ambitious and hope to break even in the U.K.? VINCI Construction margin, how much can we hope to see an improvement during the period and maybe the next year as well? And Eurovia, ditto? 
Xavier Huillard: I won't let Jérôme speak this time around. He'd be too bashful. I already said this earlier, margins, it's like a staircase. You go down one step and then you go back up step by step. And what we believe, we're ambitious and we intend to increase margins of VINCI Construction by around 100 basis points per year. 100 basis points, that's right. That'll be good years and less good years. Now of course, the target will be to as quickly as possible come back to margin levels that we deserve. Considering the added value we provide, I need to come back toward 4% to 5% margins. That would be the appropriate remuneration of the risk we take in construction. VINCI Energies, in spite of my theory earlier talking about the relationship between new and long-standing contracts, it's possible that Yves in his great generosity might round things off. Margins might round up in upcoming years possibly, I'm being careful in saying that. Eurovia now. What's Pierre going to allow us to say? Eurovia. What do we commit to? 
Pierre Coppey: Well, the challenge for Eurovia will be continue adapting to expect drops in activity in France. As Xavier said earlier, VINCI Energies activity is nearing [ph] from lots of small contracts, average amount being EUR 100,000 in France. And macroeconomics, well, what we do know about this is that the order book is fairly short, 3 to 4 months. Economics, what we do know is 2016 will be the second year of big drops in government appropriations to central government to local governments, I think in the order of minus EUR 2 billion. That will necessarily have an impact on us. So the challenge for us to be agile in light of that to be able to adapt our organization to volume drops and all the while maintaining our margins. 
Gregoire Thibault: I have a second question. 
Xavier Huillard: What was your second question? 
Gregoire Thibault: I didn't ask it yet. 
Xavier Huillard: Well, maybe answer it, anyway. 
Gregoire Thibault: Seriously, second question, to talk about net debt by business line and cash and so forth. Net debt, 2015, VINCI Autoroutes, up strongly between EUR 3 billion to EUR 4 billion. Possibly, there's more cash and liquidities at the holding level. Help me to step. You don't want to releverage, and we understand why. So what about this cash that you brought up to the holding level from motorways? And then tack-on question. With that cash, we've heard that you might be interested at some point to look for another subsidiary, Abengoa, the newspapers talk about some Bilfinger divisions. Could you tell us a little bit about what you might be doing? 
Christian Labeyrie: Christian. Let's talk about acquisitions. Or no acquisitions, I won't say anything. I say what I said early about -- in interest rates, we're a global group, integrated. There’s cash in some locations, debt in some locations. We circulate cash within the group. Autoroutes' debt goes up. It could internal debt. There's no actual specific rule, overall scenario we've decided, and what we're doing is internal optimizations within VINCI group. 
Xavier Huillard: Xavier. What we've observed -- and I'll hand over to Yves after this. What we observed is that every time something arises in Europe, something comes up, subject arises, people look to us and think of us. That's a great thing. In the newspapers, I read that we were interested in Abengoa's works division, also read that we were interested in buying up whole divisions of Bilfinger. Well, we're highly visible, and people consider us to be potential buyers. But let me explain to you again. External growth is something you have to fine-tune and be careful with -- you have to be very ambitious. Yes, you have to be able to grow, and you have to have the wherewithal to integrate companies you buy. You have to also clear long-term objectives. But most importantly, you can't have a short-term focus. Otherwise, you just buy every old thing and you make mistakes. So there are good years and less good years. We are carefully tracking many subjects, many possible opportunities, but we're highly selective. We only move on one of these if we have absolute belief that it fits in every respect. 
Yves Meignié: Now on Abengoa. Here, a subsidiary, part of the contracting business called Abeinsa, within which about 25% of revenue is something like VINCI Energies work. And as Xavier was saying, when things are in our market segment, we consider them, sometimes because we're curious, sometimes being imaginative. Here we consider this -- we had our doubts, and very quickly we backed out with our major doubts. We're highly selective, as we said. We've -- well before anything was said in the press. Bilfinger, they're encountering problems. We don't know if they'll continue to exist for very long. So that's basically that. People claimed we were bidding for their entire building and facilities division. That's not true. But you never know. If things were to pan out differently, there might be some cherry-picking to do, as we did with Imtech. We would never have taken all of Imtech as they were. We were cognizant of their difficulties, and we did some cherry-picking, taking out some beautiful portions, such as ICT. Further questions? Over there? Second row. 
Unknown Analyst: Two brief technical questions and then one more general one. Quick questions, tax rate. Could you give us an order of magnitude of a possible reduction in your tax rate for 2016? Because corporate taxes are going down in France, like-for-like. Second question, drop in amortizations concessions. What about tax second half of 2015? And what's going to be taken here in 2016? And then a more general point regarding dividend payout policy. Current income up by 10%. You've got a lot of cash on hand at the holding. Apparently, you're conservative in terms of external growth, and you're looking more for specific assets as opposed to major acquisitions. So why is the dividend only going up by 4%? 
Xavier Huillard: Xavier. Let me begin with that last item. It's going up by 4%, which I think is a good thing already. That's a clearest sign, especially since the increase of that rate of dividend throughout the year is slightly above the rate of increase of the interim dividend in November. At any rate, what we're trying to do is be consistent. We think it is right to continue doing the same thing, be consistent for 10 years. We've been saying -- and maybe this will go on for 20 years but for the time being continues to be the case. We've been saying that we intend to stay with a payout ratio of 50%, 5-0. Some years, for cyclical reasons, it may go up to 51%, and some years it may dip back down to 50%, but important thing is to stay within -- on 50%. Now as to whether or not we're conservative, it is true that we're conservative until we're not. That's true. When we've bought ANA, we had to come up with EUR 3 billion. We have decided to do it alone on our own that helps us to be more fleet-footed. It means we had to have pull together these resources so we could be deemed credible to write that check of EUR 3 billion. 
Unknown Analyst: Let me ask the question differently. Airports, you talked about, which you might be interested in, are there any airport areas as big as ANA? 
Xavier Huillard: Xavier. Well, not for the time being. But remember, 6 months before ANA was privatized, nobody have been talking about it at all, nobody even heard of it. Japan? Well, Japan, nobody talked about that either until the day they found that we were the only bidder and the candidate. It's true. I'm not trying to blow my horn. There are so many opportunities in several of our business lines, not only airports, that, yes, we have to be tracking lots of subjects. We have to be very quick off the mark, which is why it's very important to us to keep some cash on hand that we could potentially invest, because we're convinced there's a real value in being able to do deals that may not have been very visible previously that arise all of a sudden. We have to be able to strike quickly without having to worry. So there'll be others, but I couldn't tell you where or when, but I am convinced there will be others. So we want to continue with sufficient firepower so that we can move on these. The tax question. Tax in France, the tax rate today -- well, not today, actually. As of 31 December 2015, it was 38.10%. There would be an extra tax established a few years back of 10.7%, which is 33.44%. So 2015, we'll be back at 33.44% corporate tax in France. The overall group taxation rate, including for foreign earnings, is around 34%, which is to say we don't only make earnings in France, which is, of course, is good news, and we hope we will have more and more earnings outside of France. There's going to be a drop in overall group tax rate due to the reduction in the French tax rate. That's the point. Now depreciations at VINCI Autoroutes went down due to coming to effect of the stimulus plans, so extension of contract durations as of 1 July. The impact for us is in the order of EUR 70 million pretax in terms of operating income. So we can double that to -- you can double that to get to 2016 amount. But you have to deduct the impact of expense due to the voluntary contribution, which is -- Patrick or Pierre, correct me if I’m mistaken, but it's approximately EUR 25 million to EUR 30 million pretax also. 
Xavier Huillard: Okay. If we have no further questions in the room, let's -- okay, one further question in the room. 
Unknown Analyst: Yes. You've won some major projects over the past few months. But could you help us to position the corresponding flows? Because these are not projects that will yield profits immediately. What will be the costs relating to all these new concessions or projects similar to concessions? What will be the cash outflows and inflows? 
Xavier Huillard: I can't visualize that in terms of money. Well, in detail answer, no, we can't give you the overall sum, but, Pierre, [ph] there are 2 growths in concessions: greenfield and brownfield. In Dominican Republic, you buy existing assets, so you generate cash flow immediately and quite well because the residual duration of these concessions is not very long. You buy them cheaper, then for longer duration, you immediately benefit from significant EBITDA. In Japan, pretty much the same scenario. Brownfield, the existing infrastructure, already generating EBITDA, so the aim is to improve the EBITDA through the value-creation levers we put in place at ANA in Portugal, whereas in the case -- in the greenfield case, well obviously, you have to wait the construction period and the ramp-up phase for traffic on your concession. And then in terms of cash, you have a return that can take a long time, sometimes 10, 20, 25 years. There's no one single model, and we don't have a "one size fits all" answer to your question, because these scenarios are very different. 
Christian Labeyrie: On the debt impacts, it's Christian. Because 2016, we're going to cash out in Chile our capital investment over EUR 100 million. Ditto in Japan. Same ballpark. That's the cash impact. No consolidation of the debt of either. But for the Dominican Republic, there will be an impact owing to buying the equity and the debt. And then in Strasbourg, there'll be a ramp-up phase. It won't happen over a year, but all in all, we can bank on something of the order of EUR 1 billion for Dominican Republic, Strasbourg, to which we can add EUR 400 million in investment for the other 2. 
Unknown Analyst: So all that cash out in 2016 to be disbursed? 
Christian Labeyrie: Yes, in 2016. Well, Chile will be spread longer because the works will last 4 years, but that's the ballpark. 
Xavier Huillard: Questions over the phone now. First question over the phone in French. 
Nicolas Mora: Just a question, BNP Paribas. A couple of questions. Firstly, to decipher what Christian was saying, could you tell us the exact price of AERODOM airport of Dominican Republic? I know the deal is not closed yet, but just to get an order of magnitude, will it be around EUR 500 million in enterprise value? Also, I'd like to come back to improvement in margin from construction industry. Aside from reduction of one-off losses in the U.K., could you talk to us a little bit more about how you're going to increase margins from 2% to 5%? We know, historically, your earnings power is around 4.5% to 5% margin. Now what will you be doing to secure that trajectory of margin increases just 1% per annum, which is well above market expectations currently? 
Christian Labeyrie: Christian. We can't answer about AERODOM. The deal is not closed yet. Xavier, I'll hand over to somebody, but we were told that we can't say about AERODOM. Let me just say about AERODOM. The deal is not closed, but it's below EUR 10 billion. 
Xavier Huillard: As to margin levels -- this is Xavier, in construction businesses, our focus in France margin levels have dropped to a relatively low level. The ways of increasing going up steps of the staircase I talked about earlier, well, I said this earlier. We will be more selective and, most importantly, focusing more on value-added engineering when we bid so that we can win bids for the right technical objective reasons and not only because we were the lowest bidder, everything else being equal. Also, we're working on a great deal of potential for value creation. It's tremendous. It's huge. The great deal of work is under way on this right now. I'm alluding to methods, productivity, job site prep, team management. We've got a policy here called Orchestra, which Jérôme Stubler is orchestrating, which we're now rolling out and implementing to all of our activities, especially France. Furthermore, have mentioned, in France. This is driven by VINCI Construction boss in France, Hugues Fourmentraux. He's new in position. Previously, when he was the in charge of the Atlantic portion of VINCI Construction, France, he was the one who really the most implemented this product policy to improve operations of our job sites very successfully. No doubt about it. So we believe all things being equal -- in other words, if market continues to be comparative and clients continue to be very demanding, which is as it should be, we still have a great deal of value we can tease out of things because we are the best when we do our job sites. Right, Jérôme? 
Operator: We have another question in French. Question from Morgan. 
Unknown Analyst: Three quick ones remaining on your exposure to the oil and gas sector. After the sharp decline booked in 2015, how do you read VINCI's exposure on this oil and gas sector? Could you recall the margins that your booking in this oil and gas sector? Secondly, on your guidance for contracting revenue, Eurovia in particular, and also construction in 2016, I understand that you're basing in on your order intake at the end of 2015, but do you think that the orders booked linked to the Greater Paris, or possibly the stimulus plan might have an additional short-term impact on revenue in 2016? And lastly, you mentioned several times the possibility of another stimulus plan in France, albeit smaller. Has there been progress on that front? 
Xavier Huillard: Pierre, do you want to answer the third one? Right, I can if you don't have the mic. Go ahead. 
Pierre Coppey: On the possibility of a further stimulus plan, there are a number of needs that have been identified regularly expressed by the local authorities who want further developments on existing networks, and we don't really see how this might be financed. No negotiation is under way with the public authorities. But a number of needs have been expressed, and they're being identified. 
Xavier Huillard: On the first 2, oil and gas will continue to suffer without a doubt, in 2016. Number of available deals. I mean, competition of players in the market. I mean, the number of deals are down. So Entrepose contracting is suffering and renewing its order book. And they still have projects under way, such as Yamal with VINCI Construction, major projects in Siberia for NOVATEK with TOTAL. But the renewal of these major projects is problematic, and the appetite of our peers is such that we see in a number of recent projects that price levels were, indeed, pretty low. So we're not at the end of the light yet, and specifically for oil and gas, Entrepose contracting revenue will inevitably drop. On construction -- Jérôme, correct me if I'm wrong, We can't isolate one-offs. They're part of the markets when we give the guidance, the cautious guidance that we've given you it's by factoring in the impact from the Greater Paris or the motorway stimulus plan. Okay. Questions now in English over the phone. Think we have a couple. First one, please? 
Operator: [indiscernible] 
Unknown Analyst: I have got a few questions. The first one is on Portugal. Can you give us a view on the new government, perhaps. And specifically, the question is, is there in the ANA contract any potential for the government to buy back the airport early. That's really as background knowledge for me. The second question just to be 100% clear what you're saying on the construction margin, are you saying that you think you can increase it in 2016 by 100 basis points? Just want to make sure that that's really what you're trying to say. And the third question is on free cash flow. You obviously done EUR 3 billion. I think, if I add up your returned, including the redemption of the perpetual around EUR 1.7 billion, is this something you think you can do again in '16, i.e., close to the EUR 3 billion of free cash flow and return a similar amount? Or should we be thinking about a different profile? 
Xavier Huillard: Okay. So we've been asked to answer in French, Christian first and then Pierre. With the new Portuguese government. Margins, let me say, first off, that when I referred to the staircase margins and each that being 100 bps, didn't necessarily mean that it would happen steadily and regularly. And then have to factor into your models an improvement of 100 bps of VINCI Construction France in 2016 
Christian Labeyrie: On more prudent. Christian. As regards free cash flow, we won’t stick our neck out today and say that we'll do as well in 2016 and 2015 for the reasons outlined earlier, if only for WCR for which we're assuming 0 as an assumption. In addition, the investment in the Autoroutes, you have a chart in the handout, will increase because of the stimulus plan. So I would tend to say that free cash flow will decline from the EUR 3 billion 2016 without giving a number at this stage. It's too premature. But it will have an impact on tax, and we hope on the other operational factors. 
Pierre Coppey: And regarding Portugal on the privatization policy, but the question of privatizing all Portuguese airports has never been raised. And in fact, when we celebrated the 20 millionth passenger in Lisbon Airport on the 8th of January, the transport minister came to celebrate that with the grand tour and relations are very positive and constructive. 
Operator: We have another question from Olivia Peters from Berenberg. 
Olivia Peters: I just have 2 questions, please. Firstly, I was wondering if you could comment on the IRRs in the concession space in terms of acquisitions you've made. Maybe even comment on both greenfield and brownfield IRRs. I know you're very selective and that you're willing to go to places where other competitors aren't potentially present. But are you seeing pressure there? My second question is more of a general question, particularly on BIM, and technology used in the construction space. I was wondering if there's any way you could quantify how much it could help productivity and cost cutting in the future. 
Christian Labeyrie: Yes, on the IRR, just to give a general response, like I do every time you ask the question, I analyze and try that, and you're right to try. IRR is mathematical, basically, taking into account at least initially the objective in various elements, such as cost of long-term financing, especially very long term; also country risk, which is different depending on the country, an OECD country or non-OECD country; also project risk, whether or not it's greenfield or brownfield, not same situation. Maybe in brownfield, you've got a known situation to begin with, whereas in greenfield, you got working assumptions of ramping up traffic and so forth. There's so many elements you've to put into a number cruncher to then calculate an IRR objectively. And the IRR can change over time. And in a country with strong high inflation or devaluation, you can't extrapolate for a 40-year period in the current situation. In some Latin American countries, they're in a very difficult situation right now. If you project with an IRR very high over a 40-year period, no doubt about it, wouldn't work out. So you've got to assume sometimes the situation will improve, will turn around. So IRR is one thing. Basic elements for the business plan that's something else. And equally important, what's the assumption we have for growth and inflation, or economic growth? What's our assumption in terms of traffic growth? And here you can have different evaluations from one operator to another one and business to another, you might have a different assumption. And the third part of my answer, you'll observe you're also interested in fairly complex projects, where there are many different inputs taken into account, such as works in Chile. That's another factor that helps us stand out from our peers. So yes, there's pressure on IRR due to competition, but we can also look for subjects where there's a little bit less competition, and we can try to really make best use of our ability to add extra added value. 
Xavier Huillard: Xavier. To comment on the second question, and more general one, it's very difficult answer it, obviously. The contribution of these technologies, focusing on BIM, but not only BIM -- it's not only a contribution in terms of increasing productivity, but most importantly, it is a contribution to help reduce various risks by smoothing flows, improving flows, improving relations between the various people involved in a project. Very difficult to quantify, though. But if I did need to stick my neck out and give you a figure, I'd slightly shift this discussion, say, for 2 years in, 2.5 years, we've been doing an in-depth policy and a portion of the business, that's housing, and we felt we needed to reduce cost of housing -- price of housing sold to future housing owners not by asking for reduction in land prices or reduction in regulation but by addressing our own added-value, i.e., the process: the design, methods process, the build process and then property management. We feel that just by acting on what's within our remit, under our decision control, i.e., design, construction and operation, we should be able to cut by 20% to 25% housing prices. But it's not just through BIM. It's by having employees be very versatile. It's by helping standardize various types of equipment. It's by -- through working on various lean processes, so the various basic tasks are carefully specified so they can be done in a timely fashion, very quickly by all the various people active at the job sites. So we've got to use all areas of -- all possibilities, big and small. If we do this, we can cut those housing prices by 20% to 25%. Now this is basically thanks to the contribution of digital, generally, not just BIM specifically. 
Operator: Thank you very much, Xavier and Christian. If you agree, we'll...
 [Audio Gap]